Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Choice Hotels Internationalâs Second Quarter 2022 Earnings Call.  At this time, I will turn the conference call over to Allie Summers, Investor Relations Director for Choice Hotels. Maâam, please begin.
Allie Summers: Good morning and thank you for joining us today. Before we begin, we would like to remind you that during this conference call, certain predictive or forward-looking statements will be used to assist you in understanding the company and its results. Actual results may differ materially from those indicated in forward-looking statements and you should consult the companyâs Forms 10-Q, 10-K and other SEC filings for information about important risk factors affecting the company that you should consider. These forward-looking statements speak as of todayâs date and we undertake no obligation to publicly update them to reflect subsequent events or circumstances. You can find a reconciliation of our non-GAAP financial measures referred to in our remarks as part of our second quarter 2022 earnings press release which is posted on our website at choicehotels.com under the Investor Relations section. This morning Pat Pacious, our President and Chief Executive Officer and Dom Dragisich, our Chief Financial Officer, will speak to our second quarter operating results and financial performance. Following Pat and Domâs remarks, we will be glad to take your questions. And with that, I will turn the call over to Pat.
Pat Pacious: Thanks, Allie and good morning everyone. We appreciate your taking the time to join us. The second quarter was a truly remarkable one for our company. We once again outperformed the industry in RevPAR growth, accelerated our capital recycling progress and announced the most significant acquisition in our companyâs history. In June, we announced the acquisition of Radisson Hotels Americas. Today, I am pleased to share that we remain on track to close the transaction this month. This transformative acquisition of Radisson Hotels Americasâ 9 brands is expected to significantly accelerate Choiceâs long-term asset-light strategy of growing our business in higher revenue travel segments and locations. We strongly believe that this transaction will enable us to achieve our dual goals of delivering greater return on investment for franchise owners while growing the newly acquired brands to drive meaningful value creation for our shareholders. As we look forward to closing, we expect the acquisition to create a number of compelling value drivers. First, the acquisition will add over 67,000 rooms that will be RevPAR accretive to our existing platform due to Radisson Hotels Americas strength in the upscale and upper mid-scale segments, and their hotels locations in higher RevPAR markets. In 2019, the average RevPAR for this portfolio was 38% higher than the average for Choiceâs existing system. We also believe our superior business delivery platform, once combined with these brands, will provide additional revenue upside for these franchisees and our shareholders. Next, the acquisition will improve the return on investment for franchise owners who we expect will benefit from the enhanced business delivery capabilities of the combined companies, including our award-winning loyalty program, proprietary tools and emerging technologies designed to drive owner performance and reduce their cost of hotel ownership. Choice has a deep familiarity with the Radisson Hotels Americas franchisee community, many of whom already hold franchise agreements with us. The transaction will also expand our customer reach to a higher income and younger demographic as well as with business travelers. The combined loyalty program provides members a new set of attractive loyalty redemption options for guests in upscale and sought after leisure markets. And finally, it will expand our regional representation in the Upper Midwest and West Coast of the U.S. while growing our presence in Canada, Mexico, the Caribbean and other key Americas markets. The pending addition of Radisson Hotels Americas marks the next chapter in our higher revenue per room growth trajectory. Our strategic goal has been to open incremental rooms in higher revenue segments and RevPAR markets, which ultimately results in an outsized increase in royalties. In fact, for the past 1.5 years, every new unit entering our portfolio has generated twice the revenue as a unit leaving it. Our strategy has not been solely a unit growth strategy. It is a unit growth strategy in the segments that are accretive to our earnings and provide significant future growth for our business. That trend continues with this pending acquisition. Our company has a long track record of establishing mutually beneficial relationships with our franchisees. And we have a history of smart investments in new segments where our world-class franchising engine can spur future growth. A recent example is our off-market acquisition of the WoodSpring Suites brand. The WoodSpring Suites results reflect our ability to identify high potential acquisition opportunities and then integrate and grow them successfully. The WoodSpring acquisition also allowed us to successfully accelerate the growth of our entire extended-stay portfolio. We see the pending Radisson Hotels Americas acquisition expanding Choiceâs growth vectors by bringing the companyâs best-in-class franchising platform to adjacent hotel segments and to a new set of hotel owners while providing opportunities to further strengthen Choiceâs core upper mid-scale presence. We also expect that this transaction will enable us to further build on our momentum in the upscale segment, accelerating growth for our Cambria hotels and Ascend Hotel Collection brands, and at the same time, allowing us to expand the Radisson portfolio. The addition of the Radisson upscale brands in the Americas will increase the size of Choiceâs global footprint in the upscale segment to approximately 80,000 upscale rooms. The level of enthusiasm around the acquisition from developers, franchise owners and the investor community has been remarkable. And importantly, the cultural fit between our two companies could not be more ideal. This unique off-market transaction is the result of a year-long strategic conversation with the sellers and represents a win-win opportunity, whereby Choice will bring our track record of brand growth and brand stewardship in the Americas to these well-known global brands. Iâm very excited to add this new business and start the next chapter in our companyâs rich history of success. Now turning to our second quarter results. Iâm pleased to report that we generated $129.6 million of adjusted EBITDA in the second quarter, a 16% year-over-year increase and a 26% increase when compared to the same quarter in 2019. These exceptional financial results were fueled by continued RevPAR growth that accelerated from the first quarter and again outperformed the industry. Throughout the remainder of our remarks, weâll provide RevPAR comparisons to 2019. Our second quarter RevPAR growth was impressive with domestic RevPAR increasing 13% from the same quarter of 2019. Led by our hotelâs ability to drive room rates, we have now exceeded our 2019 RevPAR levels for 14 consecutive months, including July RevPAR growth results which surpassed 2019 levels by approximately 14%, and we expect our momentum to continue into the third quarter. Clearly, consumers continue to shift their spend towards travel experiences, and we are seeing that across all segments in which we compete. Not only do we expect these broader leisure trends to continue, but we also have seen continued strengthening of our business transient and group segments. Recent studies indicate that leisure travel remains a high budget priority for American travelers, who are sticking with their travel plans and willing to make trade-offs to make the trips possible. Based with high airline ticket prices and flight cancellations, a majority of travelers who responded to our recent survey indicated they would rather switch to driving versus canceling their vacation plans. This trend is particularly beneficial for our portfolio of over 4,000 hotels located within a mile of an interstate exit. In addition to leisure travel, we are also observing business travel trends that are favorable for our brands, especially in the context of the pending Radisson Hotels Americas acquisition. In the second quarter, we drove sequential quarter-over-quarter increases in our business travel bookings with demand surpassing 2021 levels. In addition to continued robust leisure travel, the business travel component of our guest mix continues to approach historical levels and accounted for 30% of stays in the second quarter. We continue to expect business travel in our key industry verticals to increase, fueled by the additional onshoring of the U.S. supply chain and investments from the infrastructure bill. Choice remains well positioned to continue to capitalize on long-term consumer trends and benefits from our resilient business model, which has historically delivered stable returns throughout both expanding and contracting economic cycles. Our second quarter results demonstrate that the deliberate decisions and strategic investments we have made in our brand portfolio, value proposition, platform capabilities and other franchisee tools are paying off. Iâll now provide a brief update on our key segments and some of the accomplishments for this quarter. First, we continue to strengthen our core portfolio of brands. The Comfort brand has now registered 10 straight quarters of unit growth year-over-year since its successful refresh. And consumer confidence in our updated product has continued to drive the brandâs RevPAR index gains versus its local competitors, underlying the attractiveness of this iconic brand to hotel developers and guests alike. Our new Comfort prototype is now underdevelopment in several locations and marks the next chapter for our flagship brand. Our Quality Inn brand with over 1,600 hotels opened in the United States remains a leader in the mid-scale segment. The brand continues to generate strong developer demand with a 28% increase in franchise agreements awarded year-to-date through June compared to the same period of 2021, and a 10.8% increase in RevPAR during the second quarter versus the same period of 2019. In the 4 years since its launch, our Clarion Pointe brand has reached a key milestone of 50 hotels opened as of last month, with over 10 additional hotels awaiting conversions still this year. We also further invested in the extended-stay segment, which continues to be a significant driver of our unit and RevPAR growth. Specifically, in the second quarter, our extended-stay domestic pipeline expanded to over 360 hotels and we awarded 41 extended-stay domestic franchise agreements, a 24% increase year-over-year and a 78% increase compared to 2019 levels. Our investments in the WoodSpring Suites brand marketing and distribution capabilities enabled us to achieve RevPAR growth of over 28% in the second quarter of 2022, and compared to the same period of 2019, driven by increases in both occupancy and rate. In the first half of the year, we more than doubled the number of WoodSpring Suites domestic agreements executed year-over-year. Not only has the brandâs pipeline expanded by over 30% year-over-year as of the end of June, reaching over 200 domestic properties but we also expect the brandâs openings this year to significantly exceed 2021 levels. As you may be aware, in the first quarter, Blackstone real estate partners and Starwood Capital acquired a portfolio of 111 WoodSpring Suites hotels from the real estate owner who purchased these hotels at the time that we acquired the WoodSpring Suites brand and operating company. Blackstone and Starwood also own an extended-stay brand company. Recently and not surprisingly, they notified us that they intend to reflag the bulk of these properties in September. This exit scenario would result in a cash benefit amount of approximately 5 years of future royalty fees to Choice. The majority of these exiting hotels represent the older legacy value place hotels and are in markets that are highly attractive to current WoodSpring owners interested in future development. We see this transition as an opportunity to further strengthen the brand by replacing first-generation hotels with our highly profitable new construction prototype that will provide an improved experience for our guests. I am also pleased to report that we recently entered into development agreements for 45 new WoodSpring Suites hotels with two of the countryâs most prominent hotel developers. This brings our commitments to develop WoodSprings to approximately 250 hotels. Our newest extended-stay brand, Everhome Suites is on the cusp of significant growth with its first hotel on track to open next month. The appeal for this mid-scale new construction option in the development community continues to grow, with over 30 additional projects already in the pipeline and a substantially higher number of domestic contracts expected for 2022 as compared to last year. In addition, we recently secured a commitment with one of the largest extended-stay investors in the nation to develop more than 20 new Everhome Suites hotels, bringing the development commitments to this brand to over 50 hotels. Overall, we remain very optimistic about our extended-stay segment growth and expect the number of our extended-stay units to increase at an average annual growth rate of more than 10% over the next 5 years. We are also pleased with our upscale portfolio, where our brands outperformed the segmentâs RevPAR growth by nearly 9 percentage points versus the same period of 2019. At the same time, we more than doubled the number of upscale franchise agreements executed in the second quarter year-over-year. The Cambria brand expanded to 60 units opened, with an additional 65 domestic properties in the pipeline, including 21 projects under active construction at the end of June. The recently introduced Cambria Hotel prototype designed for secondary and leisure markets has been enthusiastically received by the developer community with 14 new agreements signed as of the end of the second quarter. In addition, we expect that the pending Radisson Hotels Americas acquisition will enable us to further penetrate the upscale market, creating an additional catalyst for Cambriaâs growth. We also continue to improve the value proposition that we deliver to our franchise owners. With our enhanced distribution capabilities, we have been able to drive growth as compared to 2021 and 2019 through increased revenue contribution in the second quarter of 2022 from choicehotels.com. Business delivery through this channel significantly improves our ownersâ profitability as it brings more guests into their hotels at the lowest cost. Existing owners recognize the increasing value in our brands and are continuing to renew their agreements to remain in our system. In fact, the second quarter of 2022 marked the highest quarter for franchise renewal and relicensing contracts over the past 6 years. And finally, our franchise owners continue to remain with Choice as seen in our industry-leading voluntary franchisee retention rate. We are proud of everything weâve accomplished this quarter, but we certainly could not have done it without the strength of our award-winning culture centered around diversity, equity and belonging. Iâm especially pleased to report that we recently have been named one of the best places to work for people with disabilities, earning a perfect score on the Disability Equality Index for the third year in a row. In closing, I want to again convey how pleased we are about the prospects ahead for Radisson Hotels Americas bright future as a part of Choice. We look forward to integrating these hotels into the Choice family and accelerating the growth of these brands by leveraging Choiceâs scale, network of owner and franchise relationships and our powerful digital platforms. With that, I will hand it over to our CFO. Dom?
Dom Dragisich: Thanks Pat and good morning, everyone. Iâm very pleased to be with you today to report our impressive second quarter financial performance. Specifically, I will provide additional insights on our second quarter results, share expectations for what lies ahead and update you on our liquidity profile and capital allocation approach. Throughout my remarks today, Iâll be making financial performance comparisons to 2021. However, for RevPAR growth, I will continue to benchmark to 2019. For RevPAR comparisons to 2021 please refer to our press release. I also would like to note that our forward-looking guidance does not include any positive impact from the pending Radisson Hotels Americas acquisition. For the second quarter 2022 compared to the same period of 2021, total revenues, excluding marketing and reservation system fees were $178.6 million, a 25% increase despite a slight increase in our adjusted SG&A expenses, primarily due to the resumption of our annual convention in the second quarter, our adjusted EBITDA grew 16% to $129.6 million. This strong adjusted EBITDA growth was driven by impressive RevPAR performance, continued effective royalty rate growth and disciplined cost management. And as a result, our adjusted earnings per share were $1.43 for the second quarter, an increase of 17% versus the same period of 2021. Iâd like to now turn to our 3 key revenue levers beginning with RevPAR. Our domestic RevPAR increased 13% for the second quarter, with our average daily rate growing by nearly 14% compared to the same quarter of 2019. This RevPAR growth also represents an acceleration of the gains achieved in the first quarter of this year. As you will remember from our prior calls, our brand strategy is focused on driving growth across the higher value and more revenue intense upscale, extended-stay and mid-scale segments. Our investments in these strategic segments and our value proposition capabilities have enabled us to outperform the industry in RevPAR growth by nearly 4 percentage points for the second quarter with average daily rate growth accelerating quarter-over-quarter as compared to 2019. Importantly, thanks to the award-winning tools and capabilities we provide as well as expert advice from our revenue management consultants, our franchise owners are able to quickly execute the right pricing strategy and effectively reach their target customers, which is critical in this inflationary environment. We believe that the new enhancements we are currently deploying to our revenue management tool will allow us to further optimize rate growth for the remainder of 2022 and beyond. Given the strong RevPAR trends, our ongoing strategic initiatives and continued optimism, we are raising the bottom end of our RevPAR growth range and now expect full year 2022 domestic RevPAR to increase between 11% and 13% as compared to full year 2019. Our effective royalty rate also continues to be a significant source of our revenue growth. Our domestic effective royalty rate once again exceeded 5% for the quarter, increasing 3 basis points for the second quarter and 4 basis points year-to-date through June year-over-year. This performance further validates our long-term investment strategy on behalf of our franchisees, the continued strengthening of our value proposition to our franchise owners and the attractiveness of our proven brands. With owners seeking Choiceâs proven capabilities to consistently deliver strong top line revenues that maximize return on investment while reducing total cost of ownership, we continue to expect our effective royalty rate to grow approximately 5 basis points for full year 2022 year-over-year. The third revenue lever Iâd like to discuss is unit growth, where our portfolioâs absolute size and the revenue intensity of its hotels are key advantages. We are excited about the prospects of integrating over 67,000 Radisson Hotels Americas rooms to the Choice family, which we expect will increase our global rooms number by approximately 12% and extend our presence in the Canadian, Mexican, Caribbean and other key Americas markets. We are optimistic that as Radisson Hotels Americas 9 brands are connected into our powerful reservation delivery capabilities, we will not only improve the performance of the existing portfolio but also create a runway for future growth of the Radisson Hotels Americas brands. For the second quarter, our existing revenue intense brands grew by 30 basis points year-over-year excluding last yearâs departure of 17 AMResorts from our Ascend Hotel Collection and the strategic termination of 41 underperforming assets that we discussed at the beginning of the year. This growth was led by our extended stay portfolio, with units expanding by over 6% in the second quarter year-over-year. For full year 2022, we continue to expect unit growth of the more revenue intense segments to range between 1% and 2%, not including the impact from the onetime exit of the WoodSpring Suites hotels nor the pending Radisson Hotels Americas acquisition. Further, we expect the broader revenue intensity trends of our overall portfolio seen in 2021 to continue. Aided by our strong value proposition and RevPAR performance, developers continue to choose our brands versus the competition as they seek to improve their operations and boost the long-term value of their hotels. In the first half of the year, we awarded 215 new domestic franchise agreements, a 21% increase year-over-year, excluding last yearâs Penn National Gaming multiunit transaction. Our developers are also increasingly optimistic about the long-term fundamentals of the lodging industry. Specifically, we are very pleased to see that demand for our new construction brands increased by nearly 50% throughout the first half of the year, year-over-year. At the same time, nearly 2/3 of the agreements sold in the first 6 months of the year were for conversion hotels, which are expected to open more quickly than our new construction projects. A 24% year-over-year increase in new applications for domestic franchise agreements in the first half of the year further reinforces our confidence in our continued growth prospects throughout 2022 and beyond. Iâd like to now turn to the strength of our balance sheet. One of the major reasons why we believe we are an even stronger company today than we were pre-pandemic. Our impressive performance and effective allocation of resources to drive top line outperformance has further bolstered the companyâs liquidity position. More specifically, at the end of the second quarter of 2022, the company had $1.2 billion in cash and available borrowing capacity through its revolving credit facility. Even after the completion of the Radisson Hotels Americas acquisition, our liquidity is expected to remain strong. In fact, we expect to continue to maintain a best-in-class balance sheet with a gross debt-to-EBITDA leverage level below the low end of our target range of 3x to 4x. Year-to-date through June, we returned approximately $42 million back to our shareholders in the form of cash dividends and repurchases of our common stock. In the second quarter of 2022, due to a blackout associated with the pending Radisson Hotels Americas acquisition announcement, we were unable to transact through our share repurchase program. Moving forward, we expect to use all pillars of our capital allocation strategy, including returning capital to shareholders in the form of future share repurchases. We also expect to pay dividends this year of $53 million, more than double the level of 2021. I am also pleased to report that our capital recycling efforts are stronger than ever. In June and July, we sold two of our own Cambria assets, recycling approximately $135 million. And most importantly, we also secured 20 to 30-year franchise agreements with the respective buyers. Following the closing of these transactions, we will have recycled over $140 million of prior investments in Cambria development projects during 2022. Even excluding the impact of the pending Radisson Hotels Americas acquisition, we expect to drive continued growth in adjusted EBITDA and adjusted EPS for full year 2022 above both 2021 and 2019 levels. Due to the significant outperformance in domestic pre-tax earnings, which are taxed at a higher rate than our international operations, our tax rate in the first half of 2022 was slightly elevated. We expect this trend to continue for the remainder of the year. Finally, for full year 2022 and excluding the impact of the pending Radisson Hotels Americas acquisition, we expect to drive continued growth in our adjusted EBITDA margin above 2019 levels. We are proud of the accomplishments we have achieved to advance our long-term strategy and are excited about the value creation we expect Radisson Hotels Americas to bring to Choice. Throughout the integration process, we are committed to drive meaningful results for owners and franchisees and to help enhance the value of their investments. By leveraging the benefits of scale and the expansion of Choiceâs growth vectors, we expect the combined companies to bring operational efficiencies and additional revenue opportunities to drive attractive returns for years to come. We look forward to providing you with further updates in November during our next earnings call. In closing, we remain confident in our long-term strategic approach and resilient business model, which enables us to continue to deliver strong operating results and generate substantial levels of cash through multiple growth levers. Coupled with our disciplined capital allocation strategy and strong balance sheet, we believe these strengths will allow us to further capitalize on growth opportunities and drive outsized returns in the years ahead. At this time, Pat and I would be happy to answer any questions. Operator?
Operator:  Our first question today comes from Michael Bellisario from Baird. Please go ahead with your question.
Michael Bellisario: Thanks. Good morning, everyone.
Pat Pacious: Good morning.
Michael Bellisario: The first question on Radisson, there is going to be a different ownership group for the international portfolio. Can you just provide some details kind of on that dual ownership structure? Who is going to own what? And then really kind of more importantly, how do you manage that relationship in the brand consistency globally?
Pat Pacious: Sure. So if you look at this acquisition, we talked in the prepared remarks, obviously, about the strategic benefits of it. We are acquiring the brands and the operating business, the intellectual property, everything outright in the Americas. So it is a full ownership of Choice Hotels for the brands in the Americas region. Itâs really the result of a year-long strategic conversation that we had with the sellers. They looked at our ability to aggressively grow in the upscale segment and our key strength in upper mid-scale. And they said, Choice is the right company for us to grow with in this part of the world. Weâve got the right network of owners. Weâve got the right business delivery engine. And we got the right balance sheet, frankly, to spur our future growth for the brands. What we are going to do with them is we have established what we call a brand council that will share best practices, ensure that the brands remain in the segments and the consistency that they had created globally. So there is a working relationship we will have with them to ensure that these nine brands have a standard around the globe that makes sense. But it also means we have the flexibility in the Americas markets to grow these brands. If you travel across the world and you stay in the same brand, the expectations in Asia and the expectations in Europe with regard to room size and amenities differ by brands. And a lot of that is driven by what the consumer wants and what makes sense for the developer to build. Obviously, in Europe, youâre real estate constrained more so than you are here in the Americas. So thatâs really the relationship that we will have with the Radisson Hotel Group based over in Brussels, who manages the brands for the rest of the world.
Michael Bellisario: Got it. Thatâs helpful. And then just on the WoodSpring deletions you mentioned. Can you quantify how many hotels or rooms? And then what will the foregone fees be?
Pat Pacious: So the â itâs a little bit in flux. The total number that they own today is 111. They have indicated to us that the bulk of those will depart in September. There may be a handful that depart at a later date. But by and large, I would expect in the medium term that all 111 will exit the system. The way when we acquired the brand, we saw this as a potential exit scenari, given you have a single owner with that number of hotels. So the liquidated damages associated with a really representative of 5 years of fees, royalty fees that is, that will be paid to Choice upon the exit. So once we have clarity in September and October around the actual number that are leaving, we will be able to probably report in our November call, the actual payment to Choice, assuming everything stays on track with that exit scenario, Michael.
Michael Bellisario: Got it. Thank you. And then just last one quickly for me, just on July trends, plus 14%, I think, last year, July was plus 15%. Can you just talk about the mix of rate and occupancy in July? And kind of what youâre seeing across markets and across segments so far in the third quarter?
Dom Dragisich: Yes. What youâve seen actually in Q2 has continued into July, Michael. So essentially, your occupancy for all intents and purposes is just down a notch, almost flat. In Q2, obviously, occupancy was down by about 30 basis points with ADRs up almost 14%. Youâve seen that trend continue into July, probably a little bit heavier on non-ADR, maybe down just a slight notch on occupancy. But the reality is when we didnât provide formal Q3 RevPAR guidance. But when you take a look at what weâre seeing in Q3, we expect that 13% to continue on â 13% that you saw in Q2 continuing on into Q3 as well.
Michael Bellisario: Thatâs helpful. Thank you.
Operator: Our next question comes from Dany Asad from Bank of America. Please go ahead with your question.
Dany Asad: Hi, good morning, Pat and Dom. Iâm just going to continue on that last train of thought there. So assuming rates continue, can you help us unpack like that outlook, that RevPAR outlook for the balance of the year? What could also â like what could make it go better? What can make this outlook potentially look conservative and what can go right?
Pat Pacious: Yes. I think â I mean what weâre seeing as weâve kind of got a month under our belt here in Q3 RevPAR is, itâs likely to be similar to Q2, so probably around 13%. What could make it better is really the return of the business transient travel and the strength of group, which weâve seen build quarter-over-quarter. And this return to office, which I think weâre starting to see really start to pick up here, particularly as companies, I think, are beginning to kind of get back to normal and start looking at an economy that is maybe a little bit different than what weâve been experiencing a year ago when we saw sort of all this kind of economic growth. I think you are seeing a little bit of economic slowdown. So businesses are coming back and they are sending their sales forces out to say, hey, we need to we need to get back on the game here. So I do think if we see more of that business travel, business transient return, which is the trend weâre seeing, that could be a nice motivator on the upside from a RevPAR perspective. So those are probably the things that weâre looking at as we get into Q3 and Q4, would be really does that business traveler return or continue the trends that weâre seeing with the sort of quarter-over-quarter increase in that demand.
Dany Asad: Got it. And then as we â closer and closer on or like weâre ahead of â19 levels, but we are a fully recovered kind of industry. Are you seeing any evidence of like that return of seasonality for the leisure traveler either whether itâs in the form of weakness in shoulder seasons or spending across any segment or anything like that?
Pat Pacious: Weâre not, Dany. And in fact, these longer-term trends of remote work, I mean just looking at our Sunday night business, that is categorized as a weekday. Historically, weekend was Friday, Saturday. Weâre continuing to see occupancy and rate gains on that Sunday night shoulder of the week, more so than Thursday, but Thursday is also picking up. So I do think this remote work trend is here to stay for us. It may not be as strong as it was in the early days of the pandemic, but I donât think itâs going to go back to everybody working in the office 5 days a week. I think the flexibility of certain parts of the workforce is going to continue to allow people to travel and extend that weekend stay through Sunday night and check out on Monday morning. So I think that trend is going to continue. It will be interesting to see sort of the seasonality of the month as we get back to whatever the new normal looks like. But again, as Iâve said on prior calls, retirements are triple what they were pre-pandemic. So you just have more people who are not working and who have the wherewithal to travel in the U.S. in particular. And so that aspect of demand, these retired boomers who are â have good, healthy household balance sheets, they are living longer, they are in better health. Thatâs a nice runway of growth for us from a demand perspective, particularly for our brands, particularly for leisure travel and for particularly travel outside of the busy summer season.
Dany Asad: Got it. And one more, if I can sneak one more in, for the WoodSpring conversions or like reflags, liquidated damages of that size, I know it might be a little bit early, but have you potentially earmarked them for anything in particular, whether itâs key money or buybacks or kind of â are they already being earmarked for anything in your capital plans?
Pat Pacious: So I would â I mean when we look at the WoodSpring growth, this is a brand that is in demand. We donât do discounting for this brand. And so when I look at the opportunity, weâre essentially being given a 5-year runway to replace these markets. And as I said in my prepared remarks, this is a brand that is in demand. The operating model, particularly for the new prototype, which weâve been building really since 2015 and later, drives exceptional returns for these owners. So we will be obviously spending a lot of time focused on these markets to make sure we get the right hotel in the right location with the right owner. As far as our use of that capital, it would probably be better for us to talk about it in Q3 once we have a better sense of what the final financials will look like. I donât know, Dom, do you have...
Dom Dragisich: Yes, Dany. I mean the only thing I would say is you mentioned specifically if we were going to earmark the funds for anything. And the reality is with some of the great capital recycling that weâve seen in Q2 continue into Q3, obviously, with the sale of our Nashville asset, you also see this 5 years or actually, itâs a little bit more than 5 years of LDs coming in. The reality is even post acquisition of Radisson Americas, our leverage level on a gross basis is still going to be at about 2.5x. So even to get to that bottom end of that 3 to 4x target leverage ratio, youâre going to have to put about $250 million to $300 million of debt on this business. And so weâre not living in a capital-constrained environment right now. So there is really no need to earmark it specifically.
Dany Asad: Got it. Thank you very much.
Pat Pacious: Thank you.
Operator: And our next question comes from Robin Farley from UBS. Please go ahead with your question.
Robin Farley: Great. Thanks. I wonder if you can talk a little bit about â I know your pipeline is more conversions than new construction. But some other companies have commented on the fact your record signings havenât led to record shovels in the ground in terms of getting those projects underway. So can you give any color on that? Thanks.
Dom Dragisich: Yes. So broadly speaking, when you look at the â just the composition of the pipeline, Robin, the reality is about a little over 25% of that is conversions. Obviously, conversions move through the pipeline a lot more quickly. You could open a conversion property anywhere from a month or 2 to up to 6 months or so. And so weâre not seeing as many just in terms of the opening cycle. Weâre not seeing those delayed on the conversion side of the house. Obviously, the environment that weâre living in today with cost rising and whatnot, you are seeing a little bit more pressure on the new construction side of the house. So yes, you are seeing some of those new construction projects, permitting and things like that getting pushed out. Maybe what was 2 years could extend out to a 3-year timing on the new construction side. But broadly speaking, weâre not expecting a major impact on the net unit growth algorithm just because of how many conversions we typically open on a year-to-year basis.
Robin Farley: Great. Thatâs helpful. And then just also as a follow-up question. I was curious about the comments about Radisson. I think Pat made the comment that Choice has the right balance sheet for that acquisition? And Iâm curious, does that imply that youâd be sort of using your balance sheet to grow those brands, maybe more than kind of what you have done for your existing brands? Thanks.
Pat Pacious: Yes, Robin. I mean, the exciting thing is weâve effectively repositioned the company into these higher earnings growth segments. So if you think about our core business, extended stay and upscale. Dom talked and I talked a lot about â if you look back in the last 18 months, every unit we brought in, the system is producing twice the revenue of everything thatâs leaving the system. So weâre really repositioning ourselves up into these higher revenue intense segments. The nice thing about our balance sheet is, it gives us the flexibility. If we want to push beyond where the Radisson core is, if we want to do upper upscale, and use our balance sheet in a way that helps us grow brands, weâre doing that today successfully with Cambria. Weâre doing that today successfully with Everhome. When you do these brand launches, putting your balance sheet to work and putting some skin in the game, particularly in an asset-light model is a very effective way of convincing owners that youâre in this for the long-term, which we are. So that balance sheet capacity that we have gives us the opportunity to incent growth in some of these brands that are emerging. So thatâs really the reference Iâm making there. Plus the capacity that we had to do this acquisition without having to go out and get financing speaks to the power of the cash flow generating engine that we have in our current business, the effective stewardship of our balance sheet over the years with regard to leverage levels and share repurchases and dividends and the like. So I think that sort of discipline to keep your powder dry strategy that weâve had really paid off in this situation to be able to do an acquisition of this size and then literally be back below our target levels with regard to debt to EBITDA. So thatâs really the nice thing about our business. And as I said, it gives us the flexibility as we close this transaction think about growth in new segments having the ability to use our capital to do that will give us, again, one more growth engine lever to pull if we need it.
Robin Farley: Okay. Great. Thanks very much.
Operator: Our next question comes from Patrick Scholes from Truist. Please go ahead with your question.
Patrick Scholes: Hi, good morning, everyone.
Pat Pacious: Good morning.
Patrick Scholes: My first question, post the acquisition of Radisson, can you give us an update on domestically what youâre geographic exposure will look like? Historically, youâve been more concentrated in the Southeast. How will that change post acquisition?
Pat Pacious: Yes. Patrick, it will give us more presence on the West Coast and in the Upper Midwest. Those are two areas where the current Radisson portfolio is strongest. And to your point, we are â we over-indexed in the Southeast and in that sort of Texas across into the Southwest as well. But we were underpenetrated in particular, really on the West Coast and the Upper Midwest. So it gives us a nice geographic strength. And then as we said, we will be doing direct franchising again in Canada. In our current Canadian portfolio. Itâs a 50-50 joint venture. So we will have more units and more growth opportunity in Canada as well as the Caribbean and the rest of Latin America. So itâs a nice geographic fit in areas that we feel we have a lot to bring to the table. And certainly, the sellers felt the same way. So I think itâs going to be a nice geographic complementary aspect to the business going forward.
Patrick Scholes: Okay, thank you. And then a little bit more of a technical question here. So SG&A in the quarter was up 27% year-over-year. Obviously, thatâs probably going to change post the acquisition. But whatâs â including the acquisition, whatâs a fair run rate to think about the SG&A line for the rest of the year and going into next year? Thank you.
Pat Pacious: Yes. Really, the bump was the return of our annual convention, which we did in May, but Iâll pass it to Dom.
Dom Dragisich: So broadly speaking, when you take a look at just â youâre comparing apples and oranges a little bit, Patrick. So youâre up at those levels that you highlighted. But when you take a look, I think the better comp is probably against the 2019. Weâre actually down by about 8% versus 2019. And so long story short on that, we talked about previously that we would be cutting our SG&A anywhere from 10% to 15%. So weâre still in that range when you layer in the things that we talked about before, which was really our SG&A growing kind of in that mid- to high single digits range on an apples-to-apples basis. I think post acquisition, obviously, when you take a look at just what a lot of the investors and analysts are putting 70% to 80% margin on the Radisson business as well and thatâs what a lot of folks are forecasting. It really is a business that looks and feels a lot like our business today. And so historically speaking, our SG&A has grown by anywhere from low to mid-single digits on an annual basis. Now again, weâre focusing on the growth of this business. So maybe you could see some elevated SG&A to spur growth in the short-term. But broadly speaking, you expect to continue to see margins expand in the mid to long-term, and you expect to grow at that historical, call it, low single digits to mid-single digit range.
Patrick Scholes: Okay, fair enough. Thank you for the color.
Pat Pacious: Thank you.
Operator: And our next question comes from Eric Field from Jefferies. Please go ahead with your question.
Eric Field: Thanks, good morning. Iâm on here for David Katz. Just curious for an update on latest growth strategy for Canada, I am curious about how maybe synergies with Radisson can change your strategy or how that might affect you?
Pat Pacious: Specifically, about Canada, Eric?
Eric Field: About Cambria, I was wondering if like higher revenue intensity or moving upscale would strengthen that brand or maybe shift your focus to our way?
Pat Pacious: Yes. Itâs a nice network effect of additional corporate accounts that are in the Radisson Americas business from a business travel perspective. The loyalty program members that we will be adding which is 10 million members that will be added to our 53. Those skew business travelers, those skew higher income, so from the standpoint of the combined business delivery engine, itâs only going to accelerate the opportunity and the value proposition that we have for both Cambria and the Ascend Hotel Collection. If you remember, Cambria is a limited service hotel. Radisson, the Radisson Green Sign is a full-service hotel, so much more meeting space, F&B and the like. So the two brands will coexist nicely. But the Cambria brand is really focused on that kind of local feel and the â as we call it, the casually tailored business traveler. So that consumer is a different consumer than what you see in the Radisson core brand. But the business delivery capabilities, the corporate accounts, the higher income, all of that is going to help feed the growth that we are already seeing in Cambria, and I think it will be a nice accelerant for both Cambria and Ascend.
Eric Field: Understood. Thanks.
Operator:  Our next question comes from Dan Wasiolek from Morningstar. Please go ahead with your question.
Dan Wasiolek: Good morning, guys. Thanks for taking the question. So just going back to the WoodSpring deletions. Just wondering if â is it ballpark that these deleted units represent maybe around 2% of fees year-to-date? Just trying to get a sense of that? And then one question maybe kind of on the long-term unit growth opportunity. Any kind of guidance or color on how to kind of think of net unit growth a couple of years from now, is 3% still kind of in the realm of possibility? Thank you.
Pat Pacious: Sure. So that estimate is about right, the 2% from a fees perspective on the exit. With regard to unit growth, if you look at what we are â what our strategy is already achieving, which is every unit coming in is worth twice every unit thatâs leaving over the past 1.5 years. If you look at our pipeline, which three quarters of that is Comfort Inn, WoodSpring, Cambria, itâs our upscale brands and our extended stay brands. We do expect that if your revenue weight our unit growth that youâre already at that kind of 3%, 3.5%. So every deletion is really half of what everything that is coming in. So when you look at the unit growth and you actually revenue weight it, which is what we do to sort of look at what our earnings power is going to be in the coming years, weâre effectively already there. The addition of the Radisson brands, again, RevPAR accretive, higher RevPAR, higher royalty, higher segments. Again, that sort of unit growth, I think you really need to take a look at how youâre â where these units are coming in and where the units are leaving the business because if you just look at the net unit growth number, it doesnât really reflect the earnings power that weâre creating by repositioning the company up into these higher RevPAR segments.
Dan Wasiolek: Okay. Thatâs helpful and clear. Thank you.
Operator: And ladies and gentlemen, Iâm showing no additional questions at this time, Iâd like to turn the floor back over to Pat Pacious for any closing remarks.
Pat Pacious: Great. Well, thank you, operator, and thank all of you for your time this morning. I hope you enjoy the rest of your summer, and we will talk to you all again in the fall. Have a great rest of your day.
Operator: Ladies and gentlemen, with that, we will conclude todayâs conference call. We do thank you for joining. You may now disconnect your lines.